Operator: Good day, ladies and gentlemen and welcome to the Q1 2013 Nu Skin Enterprises’ Earnings Conference Call. My name is Ian, and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session toward the end of the conference. (Operator Instructions) And as a reminder, this call is being recorded for replay purposes. I would like to turn this call over to Mr. Scott Pond, Director of Investor Relations. Please proceed, sir.
Scott Pond - Director, Investor Relations: Thank you, Ian, and we appreciate you joining us this morning on the call. Today in the room we have Truman Hunt, President and Chief Executive Officer; Ritch Wood, Chief Financial Officer; Dan Chard, President of Global Sales and Operations; and Joe Chang, Chief Scientific Officer. Just a reminder, during the call, comments may be made that include forward-looking statements. These statements involve risks and uncertainties and actual results may differ materially from those discussed or anticipated. We encourage you to refer to today’s earnings release and our SEC filings for a complete discussion of these risks. And with that, I will turn the time over to Truman.
Truman Hunt - President and Chief Executive Officer: Thank you, Scott. Good morning everyone. As indicated in our release today, we are off to a great start in 2013 posting another record quarter exceeding guidance for both earnings and revenue and substantially increasing our forecast for the remainder of the year. During the quarter, we generated revenue of $550 million, a healthy 19% increase with local currency revenue increasing by 22%. We posted earnings per share of $0.90, a 22% year-over-year increase and well ahead of expectations. Given these strong results as well as the momentum we are seeing in the business, our revenue guidance is increased by $190 million for the year quarter despite a more significant currency headwind than we have previously anticipated. Ritch will provide details on the increased guidance in a few minutes. We believe that our sustained growth is a reflection of three primary factors. First, we remain committed introducing innovative anti-ageing products that provide compelling results to consumers. We introduced the ageLOC product platform in 2009 with the goal of focusing on the sources of ageing and not just on the signs and symptoms of ageing. Our understanding of the science of gene express has played a significant impact on the formulation and development of several ageLOC products to-date, and our product development team continues to produce innovative products that produce results. We are on track to introduce an ageLOC weight management system this coming fall. We will announce the name and details of this system next week in connection with our annual trip with our global sales leaders. So, today, we are still talking on high level a bit about this product, but the system is designed to enable consumers to transform their body composition in 90 days. It includes four proprietary nutritional products as simple science-based eating plans, as well as lifestyle suggestions to help consumers reach their goals. Our research shows that many, if not most, weight loss programs focus on maximizing pounds loss whether that weight loss comes from fat or from muscle or both. We are focusing our system on healthy overall body composition on maintaining lean muscle while promoting healthy overall weight loss. So, our objective is to burn fat and retain or even build muscle. That’s not easy to do, but we have been pleased with the results that we are seeing in our clinical test of this system and we think that our sales force is really going to enjoy taking this program to the marketplace this fall. Our new guidance of the year anticipates $350 million to $400 million in sales of the weight management system including the impact of cannibalization of other products, which is typical in connection with new product launches. We are also continuing development beyond weight management. Our sites are clearly focused on our weight management loss launch and will be for a couple of years, but I am really pleased with the development of our product pipeline which remains robust and compelling. Weight management is going to be very large category for us. But I believe that the launches that will follow are in our non-cycle following weight-management will be even more impact. The second factor enabling us to sustain growth is our ability to continually renew the $2 million business opportunity we offer. We believe in a power of our channel. Person to person selling continues to be in effective way to educate consumers and while the majority of people who join this again do so as consumers we worked hard to provide a compelling opportunity for those who are interested in a full or part-time business. We will enable us to align our efforts with our sales force effort we continue to refine an innovative business cycle that helps our sales leaders leverage our product introductions to both grow their consumer groups as well as their sales networks. Our product launch process consisted of a two-year cycle where we off the new products in limited quantities during LTOs or limited time offer windows. And after educating our sales leaders about upcoming products month in advance, we then offer the new products aimed at increasing both our sales leaders and our actives. We first do this globally during our biannual global convention and follow-up throughout the following year with regional LTO events. This process primes the pump for the official launch of new products for general sale in the following months. So, we continue to refine this process to better enable our sales leaders to build the business during each launch, product launch phase. We’ve seen the LTOs grow in size and we are now ramping up for another global LTO in the second half of this year with the ageLOC weight management system. And if you keep track of Nu Skin sales leaders, you are going to hear numbers even higher than what we have articulated this morning. And at our sales leader trip next week, we will be talking in terms of a $600 million target in gross sales for the weight management system. As I mentioned, our forecast was $350 million to $400 million in net revenue benefit will still be our largest product launch by wide margin and will obviously positively impact results in the second half of the year. The strength of these launches is also attributed to our large and growing sales leader base highlighted by the 32% increase in sales leaders globally in the first quarter. Our sales leader count was now at an all-time high over 54,000 leaders around the world. And as I meet these folks around the around, I can tell you that these are highly energetic and very capable people who are doing a great job of taking the Nu Skin message to the world. The third factor that’s enabling us to sustain growth is that we are enjoying strong trends in important markets. In the North Asia region, we are again encouraged by a 13% local currency growth in Japan in the first quarter. That first quarter result marks the third consecutive quarter of year-over-year growth in Japan and we believe that we’ll continue to see growth there for the balance of the year. The initiation of the business cycle that I just referred to is what has been key to renewing growth in Japan, which as you know has been our largest market for many years. South Korea continues to also perform well up 9% for the quarter, I was just in South Korea last week and continued to be impressed with the local leaders there as well as our corporate management team. Today’s updated forecast reflects even stronger growth in South Korean throughout the remainder of 2013. We also continue to grow the very strong phase in greater China. During our tour of Asia last week, we were with about 4000 sales leaders in greater China region and I can assure you that these are highly excited and very motivated people who continue to growth the business and it’s dynamic part of the world and despite our growth in china we are still on many times smaller than the leading competitors and in fact still not yes even among with top 10 companies in our space so, we have a lot of room to continue to run in that market. We continue to be confident in the direction of our business in South Asia pacific to face a tough comp in the first quarter excluding last year’s LTO sales volume that role from the fourth quarter of 2011 and in the first quarter of 2012 sales in the region would have been up about 8% over the prior year. We would also encourage you to remember that our Q2 comp in South Asia this year will be difficult to the very large LTO in Q2 of last year. The Americas posted a 15% increase in Q1 over the prior year, Latin America becoming the more meaningful component to this region’s results, which is encouraging as we look to expand our presence in this important direct selling market. The U.S. is still enjoying good growth despite the fact that we have not been able to import Galvanic Spas for sometime and so we complete the registration process on that product, which is ongoing. Now, we knew coming into the year as the first half was going to be difficult and as much as we were up against huge LTO events in 2012, but the first half is shaping up to be stronger than we anticipated and the momentum of the business is enabling us to post growth even in the phase of difficult comps in the first half. This is going to lead to a very strong second half of 2013. And with that, I will turn the time over to Ritch.
Ritch Wood - Chief Financial Officer: Thank you, Truman and good morning everyone. We are certainly pleased with the overall results of the first quarter and our start to this year in 2013. The company’s operating margin for the first quarter was 15%, which was in line with previous guidance and slightly lower than the 15.5% operating margin reported in the same period of the prior year. We are investing behind the number of initiatives to support the growth we anticipate in the back half of this year and beyond. As previously guided, we expected operating margins to be approximately 15% in the first half of the year with stronger margins in the back half of the year as we execute our product LTOs. We continue to feel that we are on track to reach our target of about 16% operating margin for this year. Our gross margin for the quarter was 83.6% even with the prior year and we feel positive about this as we have been successful in maintaining our gross margin in the phase of a currency headwind, which causes a slight negative impact to our overall gross margin. Selling expenses for the quarter were 44% compared to 43.8% in the first quarter of 2012. Both of these quarters included very little LTO volumes, so our base compensation plan paid out consistently in both periods. A slight increase in the current year relates to the additional accrual that we are making in Greater China as we move closer to the incentive target to reach $1 billion in revenue in the region by 2014. It’s possible that we could reach this target before this date. My model currently has Greater China at approximately $920 million in 2013. We increase our accrual as sales approach $1 billion target and we are currently accruing at a rate, which assumes we are on track to achieve this target as early as 2013. General and administrative expenses for the quarter, as a percent of revenue, were 24.6% compared to 24.3% in the prior year period. We anticipated this slight increase as we invest behind initiatives meant to support the business growth we are seeing and anticipating. Specifically, our R&D expenses increased due to clinical studies relating to our weight management products as well as an increase in development expenses relating to products currently scheduled to launch in 2015. In addition to that, our promotional expenses were higher. These were planned promotion expenses built around strategic brand building efforts in both China and Japan. Our tax rate for the quarter was 34.4% compared to 36.5% in the prior year. We are permanently reinvesting a portion of form profits, which is lowering our tax rates slightly, and we anticipate this tax rate of about 34.5% holding for the balance of this year. During the quarter, we paid $17.5 million of dividends and repurchased $14.6 million of our outstanding shares. Our stock repurchase authorization was approximately $121 million at the end of March 2013. This morning, we updated our quarterly and annual guidance. Let me first address our Q2 guidance and then I can give a bit more detail on our thinking around our 2013 numbers. As you know in the second quarter of 2012, we reported a very strong quarter driven by significant LTO sales in South Asia and Greater China. Our revenue growth rate in the prior year was 40% and reflected LTO sales of $140 million again primarily in Greater China and South Asia regions. Our previous guidance for this upcoming second quarter indicated that our revenue in constant currency would be down somewhere around 8% to 10% against this difficult comparison. Given the strength of our business, we now see constant currency revenue for the second quarter flat to slightly positive compared to the prior year. We expect currency to negatively impact revenue by 3% to 4% and therefore we see our revenue in the $570 million to $580 million range and we expect our operating margin to be slightly above 15% and anticipate earnings per share to be in the $0.91 to $0.95 range. The LTO volume in the second quarter of the previous year will also impact market comparison. The Greater China which reported growth of approximately 150% in the prior year, we forecast single-digit growth in this up coming quarter. For South Asia which reported a growth rate of 66% in the prior year we estimate sales to be down around 30% to 35% in this second year. We also significantly increased our 2013 guidance this morning and here are a few key factors impacting our modeling for the balance of this year. First as you are all aware currency has continued to move against us, primarily with the Japanese yen and the Korean won. I have adjusted my modeling to reflect the yen rate to the dollar of 100 for the balance of the year. And the Korean won rate of approximately of $11.40. These adjustments negatively impacted our previous annual guidance by another $35 million. Fortunately we exceeded our first quarter guidance by approximately $40 million, which essentially offsets the impact of that currency change. The net increase to our guidance is $190 million on the upper end of the range and $210 million on the lower end of the previous range. The increases spread through out the balance of the year with about one third in each of the quarters remaining in 2013. We now forecast our weight management LTO to generate sales in $350 million to $400 million range. Also we have increased our expectations for sales in North Asia and Greater China as both regions are tracking ahead of plan so far this year. We now project the revenue for the year to be in the $2.51 billion to $2.54 billion range with earnings per share in the $4.18 to $4.30 range. This guidance assumes a negative impact from currency of 5% for more than $100 million of revenue and estimates constant revenue growth for the year around 20%. And this is especially impressive on top of the24% growth rate that we reported in the prior year. We continue to see operating margins for the year in the 15.8% to 16.1% range which is consistent with our prior guidance. Finally, let me just share a few thoughts as it relates to creating shareholder value. Over the past 10 years Truman and I and our current management team have managed this business. We have been highly focused on generating long term share holder volume. And this remains our number one focus today. In order of priority we believe we can increase shareholder value by three key areas. Number one and the priority: Driving long-term sustainable growth in our business. That’s both on the top and bottom lines. We’ve made difficult decisions in the past and we will continue to do so as we go forward to strive to achieve the results we believe are possible. We have made management changes when necessary. We executed a very successful transformation effort and we have aligned our management team with performance based incentive that has been highly effective in aligning our management around the world. Generating sustainable growth in the future will remain our top focus. Secondly, we have returned cash to shareholders through increasing our divided which we have done year since the dividend was initiated over 10 years ago. We have recently raised the dividend by 50% in this current year. And finally we look for opportunities to utilize excess cash to reproduce shares in the open market. We believe this is a great use of our cash. We have been even, we have even used our balance sheet when we felt that it was appropriate such as last year when we bought $100 million in yen-denominated debt and used this to repurchase shares. In fact last year we have repurchased about $200 million of our outstanding shares or 7% of our flow which positively impacted EPS this quarter and will for the rest of this year. But we do not discuss the specifics of when and why we are in and out of the market. We do believe that share repurchases are a great use of our cash. I like our position. I like our product pipeline. I like the growth metrics we are seeing in the business. I like the growth in emerging markets and the stability we have seen in our mature markets. I like our balance sheet and I like our chances successfully generating shareholder value as we continue to move forward. And with that, we’ll go ahead and open up the call now for question.
Operator: Thank you, sir. (Operator Instructions) Our first question comes from the line of Olivia Tong at Merrill Lynch. Please go ahead Olivia.
Olivia Tong - Merrill Lynch: Thank you. I want to talk to the sales and EPS increase and just get a better understanding of what drives such confidence also big increase particularly in China?
Ritch Wood: Yeah, thanks Olivia. As you know we continue to try and be careful in our guidance that is our policy. So even as we come out with these numbers we try and look what’s happening what the underlying metrics of the business and forecast out. The big question mark in my mind is what happens with the weight-management launch and as Truman indicated our sales leaders have high expectation for successful launch we’ve dialed back the guidance that we provided from the number that they would anticipate doing. But basically if you look at the key indicators in the Greater China region as well as the rest of the world those indicators in both the growth in our sales leaders as well as our active base which crossed over a million actives in the quarter for the first time in our history point us to a position where we can be take those numbers up and be a little bit more confident and continued growth into the future.
Olivia Tong - Merrill Lynch: Maybe if I could follow up. Can you talk about what’s sort of driving the distributor growth or there any new criteria to qualify for access to the LTO later this year?
Ritch Wood: No, there are no particular new qualification requirements Olivia. It’s just rising tide of business globally that’s listing both sales leader numbers well as the active number. And in fact if you go back and chart the quarterly growth in sales leaders since the beginning of 2011 on just sequential quarterly basis you will see that there is been very nice and strong escalating growth rate in that number for a couple of years now. And that’s just raising the type of the business globally.
Olivia Tong - Merrill Lynch: So in your mind is ageLOC could be the original transformation product is that just gaining more penetration amongst your existing users is it – they are getting out to more distribution. Maybe if you could go a little bit further into that?
Ritch Wood: Well, yeah as I mentioned in my remarks Olivia there are several factors that contribute to our ability to sustain growth and ageLOC is certainly one of those. And the continual renewal of the business opportunity to the product launch process is also a key component of that. So it’s not only the product ammunition itself it’s the way that we’re using it. And the fact that we’re aligning better with our sales leaders globally as we go into these products launches that is making the products all the more effective and enabling us to grow the business.
Olivia Tong - Merrill Lynch: Got it. Thanks. And then you guys mentioned strategic brand building initiatives in China and Japan that’s a first I have heard of that. Can you just elaborate on what specifically you’re planning to do?
Ritch Wood: Yeah, actually in the last part of 2012 and going into 2013 we’ve done something there are little bit out of the box for us trying to explore ways for us to build the brand and build consumer awareness and create the brand image that we seek to create globally. And so for example in Japan I mean the fourth quarter we opened Nu Skin product store and again the shopping district of Tokyo. And this is not a long-term commitment on our part it was a temporary effort to just measure the impact on product sales and on brand image through that kind of an initiative. And so that’s not an expensive proportion as you might imagine to open a store in the district, but a very interesting experiment for us one that had positive results and was very encouraging the sales force as they enjoy those kinds of initiatives. And so that’s an example of what we did there. Similarly in China, we already have a retail store infrastructure in China, which we’re upgrading on an ongoing basis, but there that the brand building efforts in particular were also related to participating in humanitarian relief for episodes such as the earth quick which recently hit the province again. We always are happy to jump in and help with relief efforts to the extent we can and some of that runs through the G&A line as well.
Olivia Tong - Merrill Lynch: Thanks and then lastly I just want to touch on share participated the comment that you made there, I know that you have a couple of investments that are doing right now whether it would be the CapEx for the headquarters are building ahead of the launch, but after that are there any initiatives that are particularly pricing on cash or how should be think about share repurchase want these investment sort of tie down?
Truman Hunt: Good question, Olivia. And our CapEx will drop significantly after the balance of this year. So even in the 2014, our CapEx will come down to much more reasonable number probably in the $60 million range or so going forward. So, yeah, it’s primarily the pinch is – I would say the next two quarters as we build the inventory once we come through the LTO, the cash comes in very, very strong a later part of the year.
Operator: Thank you for your question. Another question for you. This was from the line of Tim Ramey at Davidson. Please go ahead sir.
Tim Ramey – Davidson: Good morning.
Truman Hunt: Good morning, Tim.
Tim Ramey – Davidson: Ritch, you said you’re anticipating pretty close to the billion dollar sales levels this year in China. I’m going to assume that means that you will have completed your accrual for the bonus this year. Can you remind us what that accrual might have been in terms of the impact on this year’s P&L and as well? What’s the status of the Southeast Asia bonus objective for – I think was $500 million in sales?
Ritch Wood: Yeah. I think Tim as for as it relates to China, this initiative was announce back in 2010 with the total investment or total spend on the initiative about $30 million and we’ve been – we started accruing back then as certain sales later reach target and as we get closer to the billion dollars. We’ve scale that up the current year as we were to hit a billion which again would be $80 million higher than what I have in my current guidance for this year. The total spend related to this initiative in the current year would be closed to $20 million or a little less than 1% of our global sales for the year. That would be the quantification of the impact this year. Southeast Asia on the other hand is tracking not quite as fast on track with their schedule and its much smaller amount that’s in the total incentive payout, so that one is really immaterial to the overall numbers.
Tim Ramey – Davidson: So, should we assume that there will be some other new and exciting incentive in fiscal 14 or is this a little bit of discontinuity in terms of selling expense or G&A expense when we get into 14?
Ritch Wood: I think for 2013, it’s certainly going to be higher. Our objective I think our learning has been that incentives that align our management teams and our sales forces are very, very effective. So, we would anticipate obviously if we achieve this one that would be consideration for another incentive just as with their management team, we’ve used performance based stock option and our next big target really is $4 per share from management. We would anticipate continuing forward with an incentive. Now 2013 is going to be a little bit higher I think in terms of the expense because we are tracking towards this next target a lot faster than we had previously anticipated. So that accruals steps up as the achievement of the target becomes more realistic. So, I think it will come down slightly as a percentage in 2014, but the likelihood of putting a new incentive in place is very high.
Tim Ramey – Davidson: That’s good thing. And does it look likely that the Southeast Asia bonus will accrue by fiscal – I think it was – is it by ‘15 that it has to happen?
Ritch Wood: Yeah, it’s by ‘15 and it’s a $0.5 billion. We’re looking at somewhere around $300 million this year. So, there is still a pretty good upswing but don’t count Southeast Asia out and I think there is likelihood they will move towards that target.
Tim Ramey – Davidson: Thanks so much.
Operator: Thank you. And we have another question for you this one from the line of Bill Schmitz at Deutsche Bank. Please go ahead, Bill.
Bill Schmitz - Deutsche Bank: Good morning Truman and Ritch.
Ritch Wood: Good morning.
Truman Hunt: Hi Bill.
Bill Schmitz - Deutsche Bank: I definitely want to put this nonsense behind us. But can we just talk about the U.S. I know it’s only 14% of sales. But any FTC conversations recently and then Herbalife talked about some non-recurring charges as some of the stuff kind of boiled over. Was there anything in the quarter that expense wise that you guys had expand just communicate and educate people on your business model?
Ritch Wood: In our case Bill, we would not attribute any material SG&A to that issue in Q1.
Bill Schmitz - Deutsche Bank: Okay and how about are there any like recent color from the FTC like I said I think it’s total nonsense but they have given you a comfort or is there been any conversation at all recently?
Ritch Wood: Yeah, I mean I can understand why people would be interested in and answer to that question given the environment that we been living in for the past year. In our case our inclination Bill is not to provide updates on that question because frankly we don’t want to have an obligation to update going forward.
Bill Schmitz - Deutsche Bank: Okay.
Ritch Wood: But I think that - I think that the environment is Mel lowing from what we can tell.
Bill Schmitz - Deutsche Bank: Okay great and then obviously there was a amazing blow out quarter but there is only about $14.6 million of repurchase in the quarter were you attempted to playback more at any stage especially as you saw things taken to the upside?
Truman Hunt: Yeah I mean that’s also an issue that is an issue that we discuss regularly at the board level. As Ritch indicated our priorities are to investing and grow the business continue to have strong increasing dividend. And third to use our balance sheet to repurchase shares and build shareholder value it’s just difficult to discuss openly with the market the ways and weenies when you are out of the market or when you are in the market. And so we will choose not to do that, but I think our track record would say that we’re – of a disposition to want to use our financial strength to create shareholder value and that will continue to be an objective going forward.
Bill Schmitz - Deutsche Bank: Great and then a couple of housekeeping questions, what was the subscription level in the quarter?
Ritch Wood: 57% was subscription loyalty program sales.
Bill Schmitz - Deutsche Bank: Got you. So, it is picking up I mean right I mean it was…
Truman Hunt: Yep.
Bill Schmitz - Deutsche Bank: Great. And then lastly if you thought longer term what the right payout ratio is on the dividend?
Ritch Wood: We have Bill, we discussed actually linked with our board who as their fingers well into these discussions. And I think longer term we’d like to be at about a 30% payout ratio of our free cash flow. So, we’re away from that still today that’s why we kind of stepped up the increases that we’re doing on an annual basis. But it still leaves us room I would say to be aggressive in the upticks on the dividend going forward.
Bill Schmitz - Deutsche Bank: Got you. And you could easily do that with U.S. cash flow right so there is no repatriation issues or anything like that.
Ritch Wood: Yeah, generally we repay most of our cash from around the world anyway that’s why our tax rate remained fairly up there. So there wouldn’t be any hindrance to that direction that I just talked about given the strategy that we use today.
Bill Schmitz - Deutsche Bank: Okay great. Thanks very much guys.
Ritch Wood: Thanks Bill.
Operator: Thank you very much. We have another question for you this one from Rommel Dionisio from Wedbush Securities. Please go ahead.
Rommel Dionisio - Wedbush Securities: Yeah good morning thanks.
Ritch Wood: Hi Rommel.
Rommel Dionisio - Wedbush Securities: Could you just update us on how the Tru Face Essence Ultra launch ageLOC transpired in the U.S., I think you mentioned it being your expectations in Q4 and just want an update on Q1 even though successfully you are seeing there initially does that sort of make we think the possibility taking the some additional products and (indiscernible) ageLOC Technology and bring that to the market as well both of the U.S. and overseas.
Truman Hunt: Yeah no doubt about it Rommel I mean I think we felt very pleased with what’s happened this is an existing products that’s we been selling for sometime generated in the U.S. as we actually roll the product out for availability in the first quarter about $4 million in revenue and I think our Tru Face Essence sales in total were about $14 million for the quarter. So, as we look to actually rollout that latest innovation into this product around the world, we think that product becomes more effective. It likely won’t be the key sponsoring product that will highlight in this LTO phase, but rather be kind of an addition to our current pipeline, which we’re constantly doing with the number of products through our portfolio. Updating, refreshing and so far so, yeah, we are encouraged by it – it’s one more area that we can pullout of the equivalent shoot and we expect to do that I think in the other – in the foreign markets going forward as well.
Rommel Dionisio - Wedbush Securities: And Ritch, would that be true also supplement as well as skincare?
Ritch Wood: Yeah, I mean what we don’t want to do at this track from the key initiative as Truman mention can be cycles that we have going so, we’ll be cautious to kind of make sure anything we’re doing as we’re seeing as incremental and not distracting to the overall business cycle that we got in place right now.
Truman Hunt: And the point ageLOC science to the existing product portfolio, Rommel has always been in part of the strategy. If you go back and look at in particular the innings slide that we’ve shown in the last couple of investor days. I know the bottom of that the prior study is always been quite ageLOC to existing products. But that is more realistic and more available frankly on the personal care and skin care side of the equation that it is on the nutrition side.
Rommel Dionisio - Wedbush Securities: Great, thanks very much.
Operator: Thank you. We have another question for you. This one is from the line of Frank Kema of Sidoti & Company. Please go ahead Frank.
Frank Kema – Sidoti & Company: Good morning.
Truman Hunt: Hi Frank.
Frank Kema – Sidoti & Company: Just quick clarification on the guidance, is that was since was that including repurchases or set of repurchases or is that moved?
Ritch Wood: Because we don’t give a lot of guidance on repurchases, we’ve left in not include repurchases in the guidance going forward. So, I still have a $61 million approximately share count in my forecast that pushes EPS to about $4.30. So, obviously that will be impacted by our decisions to be in or out of the market.
Frank Kema – Sidoti & Company: Great. Can you – I know the weight-management product is going to be rolled out Q3? Can you let us know a little more detail on a region basis how that worked, I mean I know you have the international invention, but that impact all regions or as you mention that the incremental revenue would be, could you just give us little more color on a regional level?
Ritch Wood: Yeah, we’ll update this Frank, it’s a great question we’ll update this in the end of the July when we give our Q2 earnings because we’ll have and nailed down list. As it looks right now based on the progress of registration and so forth greater China for certain will go in September and Southeast Asia will likely also go in September with the balance of the world launching the product in October. There is some question in Southeast Asia still probably on the exact timing, but that’s the way it’s looking as of today.
Frank Kema – Sidoti & Company: Great, thanks. And have you announced a pricing for the product?
Truman Hunt: We have not yet announced final pricing for the product know.
Frank Kema – Sidoti & Company: And just final question if I could on the anticipated launch of Brazil by next year, I was just wondering could you give us just a lesion you may have learned and the opinion there in the past what you anticipate going to launched?
Truman Hunt: We’ll Brazil as you know Frank is very important and large top five direct selling market.
Frank Kema – Sidoti & Company: Right.
Truman Hunt: We gave that market short and actually one market in the world that we close several years ago after having struggle there for several years. We have not yet announced publicly any plans to another market. It would be fair to say, however, that we are definitely evaluating the potential reentering to the market. And I think it likely that we will give you an update on that topic probably on our Investor Day in November this year.
Frank Kema – Sidoti & Company: Okay, great. Thank you.
Truman Hunt: Thank you, Frank.
Operator: Thank you, Frank. We have another question for you. This was from the line of Scott Van Winkle of Canaccord Genuity. Please go ahead.
Scott Van Winkle – Canaccord Genuity: Hi. Thanks guys. Few questions. First Ritch on the selling expense you talked about the comparison being relatively flat year-over-year because of the LTO last year. Is that the primary driver when we see the up-tick in selling expense, these LTOs. I kind of thought it was the executive distributor growth was kind of driving the higher selling expense. We saw in a very strong again in Q1 and I would have thought that growth rate maybe the selling expense will be even higher than what you reported?
Ritch Wood: Yeah, it’s certainly the larger growth in this executive base does push the selling expense up a little bit. The Primary driver is the LTOs and what happens is you are pushing a lot of volume through the same number of executives that pushes their group sales volume up, which is one of the determinants on the percentage payout on the group sales volume. So, the primary driver to an increase in the overall commission expense is the LTO. So, we will expect to see that in Q3 and Q4 our selling expense will jump up probably even into the 46%-47% range for those two quarters depending upon the size of the LTO. The other impact is there, but it’s actually fairly consistent right now year-over-year. So, although it’s a little bit higher than it was two years ago it’s fairly consistent with what we are seeing a year ago in terms of driven by the growth and sales leaders.
Scott Van Winkle - Canaccord Genuity: Right and I extremely appreciate you want to wait until the Q2 report to talk about the Q3 following up on the question about the timing of launches in Greater China and Southeast Asia. If we think about the September launch, is the majority of the LTO volume for those two regions going to fall in the September or I am just wondering kind of the mix there?
Ritch Wood: No, it will, the vast majority will all be shipped out at the time that the product is sold in September. So, Q3 is going to be a really fun quarter to report we anticipate.
Scott Van Winkle - Canaccord Genuity: Okay and then inventory how much was that billed in the Q2 I assume it would peak in Q2 if you are going to be shipping in Q3?
Ritch Wood: Yeah, that’s exactly right. It will need to be basically in market by the end of July for that September launch, so you will see a push up in Q2, you will see a drop lay down in Q3 and kind of finish and stabilize back to where we were in Q4. I would mention one other thing. We will follow on this global LTO which has been our focus obviously that we have talked about for the last little while. With regional LTOs that will then kick off in the beginning and the middle part of 2014 we expect that those to be significant as well. So, as soon as this wave hit in September, October and we move through that product, we will be in process of building the next wave of inventory for the launches in2014 as well. So, the inventory balance will come down some and then build up again as we come into the beginning of 2014. 2014 should be a really strong year as well as we roll these out with our regional LTO emphasis in that year.
Scott Van Winkle - Canaccord Genuity: And then just lastly Ritch the accrual Greater China is that in selling expense or G&A?
Ritch Wood: No it's actually in selling expense.
Scott Van Winkle - Canaccord Genuity: Great thank you.
Ritch Wood: You bet.
Operator: Thank you for your question. We have another question for you. This comes from the line of John Faucher, JPMorgan. Please go ahead, John.
John Faucher - JPMorgan: Thank you. Ritch, I was just wondering I got most of it, but can you go through the China guidance for Q2 again what you are thinking from revenue standpoint given the comp on the LTO last year. And then continuing on the China team sort of – can you give us an updates in terms of where you stand with licenses with the Chinese government and sort of discussions you are having with them about potentially continuing to expand the business there. Thanks.
Ritch Wood: You bet. So, I’ve got Greater China being, well let me jump back to last year we had a quarter that went from essentially at kind of a run rate of $90 million to $100 million to $200 million in the second quarter of last year with the LTO which was almost the $100 million. This year I am looking at about $200 million or a little bit more than $200 million for the quarter so I show the mid-single digit growth rate this year compared to last year in Greater China. Does it relate to licenses and things like that there is really no update there. We don’t control that timing, we have a number that are in process and we will announce those as they come through but we really don’t have an update as it relates to when that timing would be.
John Faucher - JPMorgan: Great. And then got it and then one sort of final question here, you guys said the Korea numbers continue to generally look good, we continue to hear from other companies not using your sales channel that things are tough in Korea. Well, what is it about direct sales that seems to be working in Korea right now?
Truman Hunt: Yeah, it’s a great question. And we were in Korea Thursday, Friday, Saturday of last week on our annual convention there and hosted about 10,000 sales leaders, and I can tell you from the tenor and tone and temperature in the conventional, you never know that things are stagnant from a consumer perspective in Korea. I think that the combination of our management team X came very effectively there. We have great sales leaders in the market. I mean really phenomenal sales leaders who are doing a terrific job of executing against these product launches. And I think they are disciplined in a way they execute is a large part of their ability to continue to grow the business at very healthy growth rates now for well over a decade in that market. Korea continues to be a model for us. We continue to export best practices out of that market and into others. In fact, you may recall that our Korean General Manager, we actually put over North Asia about two years ago, and he has a large reason why our Japan business has turned out as they have started to execute the product launch process and product launch cycle in Japan as well. So, I think it’s just great ammunition and disciplined approach to execution that’s enabling us to get through a tough economic environment.
John Faucher - JPMorgan: Great, thanks.
Truman Hunt: Thank you, John.
Operator: Thank you. We have another question for you. This one is from Mark Astrachan, Stifel. Please go ahead, Mark.
Mark Astrachan - Stifel: Yeah, thanks and good morning guys.
Truman Hunt: Hi Mark.
Mark Astrachan - Stifel: Latin America, can you give us a little bit of color on what drove the growth and which countries or the product or sort of combination?
Truman Hunt: Yeah we are seeing actually surprising growth to us in Venezuela, Columbia, both doing very well. Mexico continues to do okay, still small markets given the total global framework and picture of things, but Latin America is a region that we need in the future certainly to reach our potential, and we are very pleased to see growth in those markets and to see a lot of enthusiasm for the future so, those markets are really growing based on internal momentum on the ground in those markets and almost without a lot of corporate attention or corporate effort being focused on them which I think is a great sign because it just speaks to fact that our products can still resonate in that environment. And the viability of business opportunity is real even in the markets that are typically on lower scale of this socioeconomic spectrum.
Mark Astrachan - Stifel: Great. And then on the weight management product, can you share your thoughts about broad cannibalization versus existing products and then in terms of what you are thinking about on a per distributor basis, how much do your models say that they are going to be ordering relative to other product launches doesn’t apply some sort of improvement or lack their productivity and I guess related to that south east Asia so that looks like I guess you are saying are going to be down a little bit year on year, how much of that is due to cannibalization of that product given that you already have pretty strong weight management product system in that region?
Truman Hunt: Well, the South East Asia issue market is related entirely to the huge LTO in Q2 of last year and that’s the only reason why you are going to see it down in Q2 in South Asia, we are still learning as we get further and further into each successive product launch. And we have been very pleasantly pleased that our launch is using this healthier model had been far or less cannibalistic than what they were in prior launches. However, we have never had one as big obviously that’s what is coming up this fall, and so that’s why we are cautiously guiding to a $350 million to $400 million net income from the product launch. Hopefully, we can do better than that as we strive to minimize cannibalization. The reality is that this is a product category that we already do a 100 plus million dollars in weight-management products and the lot of that is Southeast Asia based, but it’s a largely untapped category for us in other regions and should be more incremental, I mean, people who are interested in losing few pounds and changing their body composition, our peoples who are probably largely incremental of what we are doing currently with respect to our nutrition product. So, we hope that weight-management can become a billion dollar category for us, it’s certainly have all the potential to be that and then it can be highly incremental to the rest of the business.
Mark Astrachan - Stifel: Great and just sort of related to that I guess I’m just trying to get a sense from a distributor level standpoint CE, but obviously had some sounds like more than some conversations about whose buying the product and what rates so, when you think about it sort of segregate your businesses and the personal care nutrition sort of broadly, is it fair then to assume this is another pillar so to speak of how distributors going to be ordering and who are – whose ordering this product like you think there is going to be new distributor brought in, you think it’s going to be existing distributor that the skew male, female, I mean, just sort of any color you can get there will be helpful.
Truman Hunt: Well, I mean, everyone existing and new distributors will be buying the product. We do expect the penetration rate of our existing active consumer base to be higher with this product launch and our penetration rate has been with prior product launches, that’s partly because we are just feeling better at executing the launches and our sales leaders are pushing deeper into their active management each new launch. So, you will see both existing and you will see a lot of new too a minute, it’s a new opportunity for people to build the business around, it’s obviously an enormous market and growing around the world. I think to a great extent one of the surprises to us has been a fact that there has been a very warm reception to the weight-management category in markets that even typically think have huge weight-management needs like think were Malaysia, Thailand and even China where the obesity epidemic is really just starting to hit unlike in U.S. where we are in full bloom with obesity epidemic. But even in those markets, people care about body image, they care about the way they look and so whereas they might have 5 to 10 pounds lose in an American might have 30 to 40 pounds to lose. There is still a very strong appetite for this product category in those markets.
Mark Astrachan - Stifel: Thank you.
Operator: Thank you. We have a further question from the line of Bill Schmitz of Deutsche Bank. Please go ahead, Bill.
Bill Schmitz – Deutsche Bank: Hey guys, sorry for jump a back on again. Hey, would you might tell us what the preorders are for weight-management relative to the $350 million to $400 million guidance.
Truman Hunt: Yeah, we actually don’t have preorders yet so what we do is start to set goals, but our sales leaders and the preorders were really start to come in right in September when we actually a real close to that launch timeframe.
Bill Schmitz – Deutsche Bank: Okay, but when you talk about the excitement that you heard from your existing distributors, how do you gaze that like what is that come from.
Truman Hunt: That’s reflected in the forecast coming in from our management team who are working with local sales leaders.
Bill Schmitz – Deutsche Bank: Okay, great and then I’m having patience to wait for the 10-Q, but is there any update on the custom settlement in Japan and sort of timing if and when that might comes through.
Truman Hunt: They haven’t been anything new in the last couple of months. We do – we are getting words from our counsel they would hope to have resolution of at least one of the cases by the end of this year so, we are still probably 3 to 6 months away from having news on that front.
Bill Schmitz – Deutsche Bank: Okay can you remind me it’s like $35 million for one and $50 million for the others, that about right?
Truman Hunt: Yeah, that’s about right. With the yen moving all over, it changes that, yeah, that’s about right.
Bill Schmitz – Deutsche Bank: That’s great, thanks guys, thanks for letting me jump back on.
Truman Hunt: Thanks, Bill.
Truman Hunt - President and Chief Executive Officer: We appreciate everyone being on the call this morning. We are obviously very pleased with our first quarter results and our level of optimism for the year as improved as we expect a better second quarter certainly against what is a difficult comp over the last year and second half of the year is going to be very strong. I did want to make one note that we’re – as you know we’re making significant investments in infrastructure both in Provo, our headquarters with our new innovation center here as well as our innovation center in Shanghai is our significant capital investments this year and our important investments in our future and necessary for us to enable us to reach our potential. We’re actually going to be occupying the Provo innovation center by the end of the second quarter. And so for those of you who might have an inclination to pay us as a business we’d love to the show you this facility it’s a spectacular and is really going to be I think a great symbol of our optimism in the future and will be very encouraging to our sales force. Thanks for joining us today everyone.
Operator: Thank you. Ladies and gentlemen, that concludes your conference. You may now disconnect. Thank you for joining us. Do enjoy the rest of your day.